Operator: Good day and thank you for standing by. Welcome to the Q3 2022 Diamond Offshore Drilling earnings conference call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question and answer session. To ask a question during this session, you will need to press star-one-one on your telephone and you will then hear an automated message advising your hand is raised. Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Kevin Bordosky, Senior Director of Investor Relations. Please go ahead.
Kevin Bordosky: Thank you Michelle. Good morning everyone and thank you for joining us.  With me on the call today are Bernie Wolford, President and Chief Executive Officer, and Dominic Savarino, Senior Vice President and Chief Financial Officer.  Before we begin our remarks, I remind you that certain information reported on this call speaks only as of today and therefore time sensitive information may no longer be accurate at the time of any replay of this call.  In addition, certain statements made during this call may be forward-looking in nature. These statements are based on our current expectations and include known and unknown risks and uncertainties, many of which we are unable to predict or control. These risks and uncertainties may cause our actual results or performance to differ materially from any future results or performance expressed or implied by these statements. These risks and uncertainties include the risk factors disclosed in our 10-K and 10-Q filings with the SEC.  Further, we expressly disclaim any obligation to update or revise any forward-looking statements. Refer to the disclosure regarding forward-looking statements incorporated in our press release issued yesterday evening, and please note that the contents of our call today are covered by that disclosure. In addition, please note that we will be referencing non-GAAP figures on our call today. You can find a reconciliation to GAAP financials in our press release issued yesterday.  Now I will turn the call over to Bernie.
Bernie Wolford: Thanks Kevin. Good morning or afternoon to everyone, and thank you for your interest in Diamond Offshore as we present our results for the third quarter of 2022. I would like to start the call by thanking the entire Diamond team for achieving a strong quarter through their unrelenting focus on delivering safe and efficient operations. Our commitment to the customer and industry-leading operational excellence, what we call the Diamond difference, are the differentiators that drive return business and our strong contract backlog. Today I will cover our financial highlights for the quarter, our view of the macro environment, and outlook for the remainder of the year. I will then turn it over to Dominic to cover our financial results as well as provide some additional information regarding our 2023 guidance.  Our results for the quarter reflect growth in both revenue and EBITDA. Total revenue and EBITDA for the quarter were $226.1 million and $18.4 million respectively. These improvements were driven primarily by higher utilization in the third quarter. Turning to our operating highlights, I’m pleased to report that Diamond had third quarter revenue efficiency of 97.3% across our fleet, particularly impressive given the above average number of rig moves and BOP runs during the quarter. Our safety performance continues to improve as compared to both the previous quarter and year. I couldn’t be prouder of our crews for delivering this exceptional performance. In July, the Ocean BlackHawk commenced its contract for Woodside offshore Senegal. Hats off to the men and women who were laser focused on delivering a safe, on-time and successful start-up for our customer, notably while earning a performance bonus on their very first well. In October, the managed drill ship, Vela successfully commenced its one well contract in the Gulf of Mexico with Woodside, which will be followed by a five-well contract plus options with a subsidiary of Beacon Offshore.  We have experienced recent achievements in other areas as well. For example, Diamond continues to progress making our rigs more fuel efficient and reducing our carbon footprint. We recently analyzed historical fuel usage data for our Black ships, comparing closed bus and open bus electrical plant operations. Closed bus operations facilitated savings of up to 20% in fuel usage over comparable activities in an open bus configuration. Please note all of Diamond’s large DP rigs are equipped to support closed bus operations and we continue to work closely with our clients to maximize time and closed bus configurations to reduce fuel usage and greenhouse gas emissions. The remainder of ’22 promises to be an active period for the company. The Ocean GreatWhite recently arrived in Scotland to continue its preparation for the previously announced contract with BP. We are on track for contract commencement in the first quarter of 2023. The Ocean Endeavor recently arrived in Norway to replace eight diagonal braces and conduct a five-year special hole survey to ensure high rig availability for the future. Turning now to the market outlook, the macro environment continues to drive the developing growth cycle in our business with supply concerns driving investment despite governmental actions targeting inflation. Oil and gas supply fundamentals are historically tight on the heels of years of under-investment in upstream capital projects. We anticipate relative strength in oil prices to continue for the foreseeable future with long-dated futures now trending upward. Energy security priorities are driving a further leg of investment aimed at securing energy supplies close to home in a responsible manner. We believe securing sufficient supply will be a multi-year undertaking. Commodity prices have remained elevated this year with the U.S. Energy Information Administration projecting Q4 Brent averaging $93 per barrel and full year ’23 Brent averaging $95 per barrel. This has led to significant cash flow generation by our existing and potential customers, which supports their ability to fund dividends while making meaningful increases to upstream capital investments. Rystad predicts that total offshore greenfield project commitments will be approximately $138 billion in 2023 compared to $72 billion in ’22, representing a 92% increase year-over-year. We believe this surge in spending will in turn lead to increased demand for our services spanning multiple years.  We have recently seen a meaningful increase in the number of fixtures for floating rigs. According to IHS Markit, the number of new fixtures increased 44% quarter-over-quarter to 35 fixtures in the third quarter. These fixtures represent 37 rig years of demand compared to 16 rig years in the second quarter, with 60% of awarded work going to drill ships for campaigns approaching two years in duration. The majority of these are for work in the Golden Triangle, that is the U.S., South America and West Africa, all areas where we have an established operating presence. With rig supply tightening in most markets, we saw direct negotiation opportunities double in the third quarter as compared to the second quarter. In the U.S. Gulf of Mexico, where drill ship capacity is nearly sold out, we are seeing opportunities emerge for direct negotiations on term work commencing in 2024.  The tightening supply-demand balance supported our high level of commercial success in the third quarter. We secured $778 million of additional backlog during the quarter, this attributed to the previously announced contracts on the Ocean BlackHornet, Ocean Apex, Ocean GreatWhite, and the managed rigs Auriga and Vela. These commitments added six rig years of backlog and will materially increase revenue as we progress through 2023. We also look forward to re-pricing opportunities for our seventh generation drill ship, the Ocean BlackHawk, which is anticipated to finish its current contract in Senegal early in the second half of ’23. After the end of the quarter, we received notification of award of a new drilling program with Petrobras in Brazil for the Ocean Courage. The Ocean Courage was awarded a four-year project with an un-priced option for an additional four years. The total value of the firm term of the award is approximately $429 million, including a mobilization fee and the provision of certain additional services. The contract for this work is expected to be signed imminently and commence late in the fourth quarter of ’23 after the rig concludes its current contract and completes new contract preparations. Upon contract execution, this would grow our current backlog from $1.6 billion to just over $2 billion. This award is a testament to the exceptional performance of our crews and allows Diamond to continue serving the world’s largest operator of deepwater drilling rigs.  These backlog additions and growing demand are game changers which set the stage for meaningful improvements in EBITDA and cash flow in 2023 and beyond. It takes an entire organization focusing on the right things to deliver successful outcomes. I’m very proud to be surrounded by the high caliber men and women of Diamond Offshore that our customers count on to deliver energy responsibly.  I will now turn the call over to Dominic before returning with some concluding remarks.
Dominic Savarino: Thanks Bernie and good morning or afternoon to everyone. In my prepared remarks this morning, I’ll be providing an overview of our results from this past quarter, briefly touch on our liquidity and the key activities influencing it going forward, provide some insight into our projected results for the fourth quarter and full year 2022, and also provide a preliminary look at our projections for 2023.  For the third quarter, we reported net income of $5.5 million or $0.05 per diluted share. This compares favorably to our reported net loss in the second quarter of $22 million or $0.22 per diluted share. The results for the third quarter included a reported adjusted EBITDA of just over $18 million, which is a slight improvement from the prior quarter. The increase in EBITDA was driven by increased activity in the quarter associated with the Ocean BlackHawk beginning work in Senegal as well as the Ocean Apex having a full quarter of operations in Australia. These increases were partially offset by higher contract drilling expense associated with these operations as well as the Ocean Onyx completing its contract in Australia during the quarter and being stacked.  The improvement in our net income and earnings per share was largely driven by a non-recurring, non-cash tax benefit of $23 million associated with the recognition of deferred tax assets, the release of a valuation allowance, and the reversal of tax reserves due to the expiration of the statute of limitations in certain jurisdictions.  Interest expense for the quarter was $10.3 million and capital expenditures for the quarter came in at $9.8 million. We also had a working capital build in the quarter as a result of the Ocean BlackHawk, Ocean BlackLion, and Ocean Patriot transitioning to higher day rates during the quarter and a temporary delay in accounts receivable collection that we expect to collect in the fourth quarter. Our liquidity at the end of the third quarter stood at $296 million, including $23 million of unrestricted cash and $273 million of undrawn capacity on the revolving credit facility and delay draw first lien notes. As a result of the Ocean Endeavor shipyard work in the fourth quarter and the ongoing reactivation of the Ocean GreatWhite, as well as the Ocean Apex going into the shipyard between contracts for a little over a quarter in the first half of ’23 for its special hole survey and other maintenance programs, we expect our liquidity to continue to dip over the next few quarters. Once we began to enjoy the full benefit of our recent contract awards at higher day rates, as referenced in our fleet status report published yesterday, we expect our earnings potential, operating cash flow and liquidity profile to improve significantly in the second half of ’23 and throughout 2024.  Turning to our Q4 and full year 2022 guidance, we expect Q4 2022 contract drilling revenue excluding reimbursables to be between $205 million to $215 million, and largely due to the Ocean Endeavor being in the shipyard and Ocean GreatWhite reactivation activities taking place in Q4, EBITDA is expected to be slightly above breakeven and our capital expenditures are expected to be between $30 million to $35 million. Should we achieve these results for Q4, our full year 2022 results will be in line with the guidance we have previously provided.  I would now like to provide an overview of our expectations for 2023. Our backlog as of October 1, 2022 is $1.6 billion. In addition, as Bernie alluded to, we are anticipating finalizing a contract award with Petrobras in the near future worth $429 million. Our backlog position gives us great visibility into our revenue opportunity for 2023 and beyond. In 2023, we are contracted for 75% of our available days excluding planned shipyard days. In addition, our average day rate for 2023 across our fleet is approximately $285,000 per day as compared to $235,000 per day for Q3. As a result, our preliminary revenue for 2023 is expected to be between $950 million and $990 million. Our preliminary EBITDA for 2023 is expected to be between $160 million and $200 million. This expected EBITDA margin of 17% to 20% is a five-fold improvement over our expected EBITDA margin for 2022.  During our Q4 conference call, we will provide a more fulsome outlook for 2023 after our 2023 budget process is complete and approved by the board.  That concludes my prepared remarks and I will now hand it back over to Bernie for some closing comments.
Bernie Wolford: Thank you Dominic. At Diamond, our focus has always been to deliver best-in-class performance while never compromising on safety performance, no matter what stage of the cycle we may be in. The Diamond difference is well established and continues to deliver value for our customers and shareholders. We expect to continue leveraging our position and capabilities in this nascent up-cycle to deliver improved results in 2023 and beyond. We appreciate your interest in Diamond Offshore and will now open the call for questions.
Operator: [Operator instructions] Our first question comes from David Smith with Pickering Energy. Your line is now open.
David Smith: Hey, good morning. Congratulations on the strong operating results in Q3. Thanks for taking my question.
Bernie Wolford: Thanks David.
David Smith: I wanted to circle back to your earliest availability for your owned and contracted fleet and the BlackHawk coming available for third quarter next year. Wanted to ask how you see the potential for options to extend that rig’s current contract, but also if you could share your outlook for the BlackHawk after this contract - it sounds like you might already be having conversations with customers about its next job.
Bernie Wolford: Sure David, and thanks for your interest today. As you know, the BlackHawk is with Woodside in Senegal. As we understand it today, the expectation is that that rig would finish its contract, including any exercised options, sometime around August of next year and then likely demob to Las Palmas, where we’ll make the--conduct the special hole survey which we’re bringing forward from ’24 into late ’23, before moving onto its next project. In terms of its next project, we’re currently in a number of active discussions around potential commitments for the BlackHawk. Given the tight supply in the Gulf of Mexico, I would sort of consider that our primary target at this stage and look forward to continue to explore direct negotiation opportunities in that vein.
David Smith: Appreciate it. A follow-up question, other than the Apex and the BlackHawk, are you planning any other special surveys for next year, and if I could sneak a related, how should we think about the SPS for a modern drill circuit hitting the 10-year mark in terms of downtime and costs?
Bernie Wolford: Right, so for the first question, David, no. We have the BlackHornet and BlackRhino are Q4 ’24 for their next special, and the BlackLion is in early ’25. We’re in somewhat of a unique position with regard to the Black ships thanks to our relationship with HMH and our contracts for the maintenance of those BOPs. We were able to have condition-based monitoring that allows us essentially to maintain continuous COCs and not necessarily have to take the BOPs out of service for an extended period. Those particular special hole surveys would be theoretically less costly and less lengthy than what you might expect otherwise.
David Smith: Very much appreciated.
Operator: As a reminder, to ask a question, please press star-one-one on your telephone. Please stand by for our next question. Our next question comes from Fredrik Stene with Clarkson. Your line is now open.
Fredrik Stene: Hey guys, hopefully you can hear me okay here. Congratulations on the nice quarter, I would say, and also on the Brazil award. I wanted to circle back to actually you could call it contracting strategy going forward. I think you guys and many of your peers are painting an upbeat picture of the world going forward. You’re talking about direct negotiations, term work from 2024 onwards. I was wondering, how do you expect that it will play your open capacity over time? You’ve signed some of the rigs for longer term contracts now, but in a strong market there is also potentially some value to having shorter commitments if they’re available, just to make sure that you’re able to capture day rate improvements. Do you have any--have you made any thinking around that?
Bernie Wolford: Yes, I think the best way to describe it is that we continue to work to push the envelope in terms of rates and mob fees at this stage. The demand picture is tight - you know, we have three additional high spec rigs needed in Brazil plus another two for BMS11 that remain unfilled, which are going to just put further pressure on availability for rigs in late ’23 and early ’24. Given the limited dry powder we have, as represented first by the BlackHawk, we’re looking to place that rig in a superior contract in terms of total cash generation.  Not to get much more specific than that, but we’re just at a point in the market where we feel like we have room to test the envelope a bit.
Fredrik Stene: Do you think it’s possible to [indiscernible] five handle on that one?
Bernie Wolford: Well, it’s a great question. Recency bias makes me--makes it hard for me to say yes to that - I have to be honest with you. We certainly do see the high fours with significant mobilizations as being kind of where the market is today, so it depends how the market moves. We’ll be watching the upcoming tender with Petrobras with great interest. I think that’s really the next opportunity to kind of see how the market is developing, but certainly demand is significant and the cost of reactivation of cold or stranded assets just gets slightly higher every single day.
Fredrik Stene: Thank you. I’ll be watching this closely. Just a final one for me on the fleet here, you have some open capacity - the Valiant, the Onyx, and the Monarch. I think you said the Onyx is looking for work in your press release. Do you have any color on those three rigs and how and when we potentially can see them return to the working fleet?
Bernie Wolford: Sure, so I’ll start with the Valiant. Energy security in the U.K. sector has changed pretty dramatically in terms of incentives for operators to get out and drill. Also, we are seeing--finally seeing some true demand materialize for P&A, and so the Valiant for us is really a play on the P&A market at this stage. We would not reactivate on spec under any circumstance, but if it could be funded through its first program, we would certainly consider it, so think of it as a call option on the P&A market. The Monarch is in a tough market in the Southeast Asia region, where we are not seeing a lot of development in terms of pricing, with ONGC being the one bright spot in that area right now. The Monarch, I think as I mentioned on a previous call, we need $40 million to $50 million to return that rig to work, and again wouldn’t put it to work unless we could pay for the reactivation in the firm term of a new contract. Finally, the Onyx is just perfectly situated for the demand that’s materializing next year in Australia. We see three programs in late ’23 and early ’24 materializing. They’re all significant programs with significant term, and the number of available rigs in the market today is the Onyx, and so we feel very well situated there to capture one of those opportunities.
Fredrik Stene: All right, thank you so much guys. That’s all for me, thanks.
Bernie Wolford: Thanks Fredrik.
Operator: As a reminder, to ask a question, press star-one-one on your telephone. Please stand by for our next question. Our next question comes from David Smith with Pickering Energy. Your line is now open.
David Smith: Hey, thanks for letting me back in. Wanted to follow up on that last question and kind of tie it to the ’23 outlook, which I realize is preliminary, but I did want to ask how the Ocean Onyx kind of factors into that $160 million to $200 million EBITDA outlook for next year.
Bernie Wolford: I think we’ve taken a pretty conservative view with regard to the Onyx for next year, but we do have an expectation of utilization in the back half of next year built into that range. We purposely created a range where our expectations kind of reflect the middle of that range and there’s room for some upside or downside in the range, but long answer to a short question, we expect it to be working in the second half of next year at a conservative day rate.
David Smith: Great to hear. Sticking with the preliminary ’23 outlook, I don’t mean to be greedy, but would you happen to have a preliminary free cash flow outlook to go along with the preliminary EBITDA outlook, or should we wait until next quarter’s call?
Dominic Savarino: Yes, wait until next quarter’s call, Dave. We’re still working through finalizing our capex budgets and the like, so there is some significant movers there that we’re continuing to evaluate, so please be patient and we’ll have that for you next time.
David Smith: All right, thanks for all your time today.
Operator: At this time, I am showing no further questions. I would now like to turn the conference back to Bernie Wolford for closing remarks.
Bernie Wolford: Thanks, and thanks all of you for participating in today’s call. We look forward to speaking with you again in the next quarter, and really appreciate your interest in Diamond Offshore. Good day.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.